Operator: Good morning and welcome to Washington Trust Bancorp Inc.’s Q2 2012 Conference Call. My name is Keith. I will be your operator today [Operator Instructions]
 And now I’d like to turn the conference over to Elizabeth B. Eckel, Senior Vice President, Marketing and Investor Relations. Ms. Eckel? 
Elizabeth Eckel: Thank you, Keith. Good morning. This is the second quarter 2012 earnings conference call for Washington Trust Bancorp Inc., NASDAQ Global Market Select, symbol: WASH.
 Please note this morning’s conference call is being recorded and webcast live. A webcast replay of today’s conference call will be available shortly after the conclusion of today’s call through the corporation’s website, www.washtrust.com, in our Investor Relations section under the subhead Presentations. However, the information we provide during today’s call is accurate only as of this date and you should not rely on today’s statements after the conclusion of the call.
 Hosting this morning’s discussion is Joseph J. MarcAurele, Chairman, President and Chief Executive Officer; and David V. Devault, Senior Executive Vice President, Secretary and Chief Financial Officer.
 Now, I’m pleased to introduce Washington Trust’s Chairman, President and CEO, Joseph J. MarcAurele. 
Joseph MarcAurele: Good morning. I’d like to welcome everyone to today’s conference call. Yesterday, we released our earnings for the second quarter. This morning I’ll discuss the highlights of the quarter and David will provide an in-depth financial review. At the conclusion of the call, we’ll answer questions about our mid-year performance and our outlook for the remainder of 2012.
 I’m pleased to report that we once again posted record earnings. Net income for the second quarter was $8.7 million or $0.53 per share, up $0.07 or 15% from the second quarter a year ago.
 Profitability ratio has also improved during the quarter. Return on average equity was 11.98%, compared to 10.83% for the second quarter last year. Return on avenger assets was 1.16%, compared to 1.04% for the second quarter in 2011. Capital ratio has also increased and remained well above minimum regulatory requirements and our asset quality measures all improved.
 All business lines performed well, so it was a good quarter all the way around. Our results are strong given the continued economic challenges we face. As we’ve mentioned before, Rhode Island's recovery continues to lag, both the Northeast and the nation. And while there have been a few bright spots in the local economy, Rhode Island still has a way to go.
 The good news is Washington Trust is a well-diversified financial institution with core business lines that operate beyond our traditional Rhode Island borders, and our second quarter numbers reflect the success of recent expansion into neighboring states.
 The mortgage area is a prime example. In the second quarter, mortgage origination activity continued at a strong pace and contributed key revenues through loan sale gains. We had particularly good production from our Massachusetts and Connecticut offices, where home values and sales have certainly picked up. And while the Rhode Island market isn’t as robust, we are getting our share of mortgages in this state.
 Our commercial loan area had exceptional growth in the second quarter, including a good mix of both commercial and industrial and commercial real estate loans. As with residential mortgages, we primarily generate commercial loans in the tri-state area and continue to work with Massachusetts and Connecticut borrowers during the quarter. Our commercial pipeline is growing and is healthy. We are optimistic about continued commercial loan growth for the remainder of the year.
 We recently announced a significant management change in our commercial lending area. Jim Vesey, who served as Executive Vice President and Chief Credit Officer, retired at quarter’s end after 13 years with Washington Trust and 40 years in the Rhode Island banking arena. Jim’s credit expertise and industry knowledge helped the bank maintain asset quality through different economic cycles; we certainly wish Jim the best in retirement.
 With Jim Vesey’s retirement, we appointed James Hagerty as Executive Vice President and Chief Lending Officer. Jim joins us from Citizens Bank, where he served as the Rhode Island Commercial Banking Manager and was responsible for managing middle market and not-for-profit business.
 He also spent 13 years previously with BankBoston, specializing in healthcare, energy, public finance and education. Not only is Jim a well-respected and experienced commercial lender, particularly in this market, but he is also a CPA, and prior to his banking career he served as Finance Director for the city of Warwick. He brings a lot to the table and will be a key member of our executive team.
 Our wealth management area has been affected by ongoing market volatility and investor uncertainty. Despite that, we are managing effectively through this period. Our wealth management business is very important to us and continues to be a significant contributor to our profitability.
 Total deposits stood at $2.1 billion at June 30, 2012, down slightly from the first quarter and consistent with deposit levels of a year ago. It’s important to note that a good portion of this decrease is attributable to seasonal reductions, particularly in government deposits.
 Over the past year, we successfully managed both our deposit costs in the mix, contributing to margin improvement. We’ve also focused our business development and marketing efforts on attracting new business and retail checking accounts. As a result, we’ve seen an 18% increase in DDA and NOW account balances in the last 12 months.
 As we mentioned on last quarter’s call, we held a unique checking account promotion from April 1 to June 30, in which we gave a free Rhode Island State Beach Pass to new checking account customers. The campaign was a tremendous success, as we more than doubled the number of new retail checking accounts opened, compared to the same period in 2011 and attracted many new households.
 Yesterday we opened our third branch in Cranston, Rhode Island, the State’s third largest city. Last year we moved ahead of 3 other banks in Cranston in regard to deposit market share, so we are very excited about our growth opportunities in that city.
 I would now like to ask Dave Devault to provide more detail on our second quarter financials. David? 
David Devault: Thank you, Joe. Good morning, everyone. Thank you for joining us on our call today. I’ll review our second quarter 2012 operating results and financial position as described in our press release yesterday afternoon.
 As Joe mentioned, net income for the corporation was $8.7 million with diluted earnings per share of $0.53 for the second quarter of 2012. These were both record levels, and these results compare to $8.4 million or $0.51 per diluted share for the previous quarter and $7.6 million or $0.46 per diluted share in the second quarter last year.
 There were a number of good reasons for these favorable profitability results, including the net interest margin, loan growth, mortgage banking and asset quality, to name a few. Key performance ratios in the latest quarter were also very respectable with the return on average equity of 11.98% and a return on average assets of 1.16%. These compared to the second quarter of 2011 with 10.83% return on equity and 1.04% return on assets. So there has been very good progress and profitability improvement over this period.
 There were several transactions in the quarter that resulted in an after tax charge of about $0.017 on diluted earnings per share that would round to $0.02 as reported. These included a gain of $348,000 on the sale of bank property, a charge of $131,000 recognized in connection with a lease buy out associated with the planned branch closing and some balance sheet positioning transactions, which are expected to result in net interest income enhancement of about $292,000 in the second half of this year, with some continuing benefit in future years as well.
 These include a small sale of some lower yield and holdings in the mortgage backed securities portfolio that resulted in a net realized gain of $217,000, a prepayment of $15 million and federal home loan bank advances with an average cost of 3.39%. This resulted in prepayment penalty expense of $961,000. Also the terms of $36.7 million in federal home loan bank advances were modified in the quarter with lower rates, with longer terms maturing in 2017.
 The net interest margin was 3.30% in the latest quarter, up 3 basis points on the linked quarter. This was accomplished through a continued improvement in the mix of interest earnings assets as well as disciplined reductions in funding costs, primarily in time deposits and wholesale funding sources.
 On the asset side, average loan balances rose by $39 million while the average balance of the investment securities portfolio declined by $37 million, primarily due to ongoing payments received on mortgage backed securities.
 One of the differentiators for Washington Trust is our comparatively high level of non-interest or fee income. We continuously rank very high among banking peers for non-interest income as a percentage of total revenues. That’s certainly continuing this year, with fee income equal to 41% of total revenues for the first 6 months of the year, and I’m excluding securities gains and losses, as well as the gain on the sale of bank property and net measurement.
 One of the bright stars is mortgage-banking revenues, which includes net gains on loan sales and commissions received on loans originated for others. Mortgage banking revenues were $3 million in the second quarter, down slightly on a linked quarter basis, but substantially ahead of the second quarter a year ago.
 Total originations were actually up about 4% on a linked quarter basis, but we retained slightly more per portfolio in the latest quarter. The mortgage pipeline is in good condition and the pipeline balance at the end of the second quarter was nicely above the balance at the end of the first quarter.
 The largest source of fee income is our wealth management business, which turned in a very solid quarter in a period of choppy financial markets. Second quarter 2012 wealth management revenues were up 4% on a linked quarter basis, driven by seasonal tax service fees. Wealth management assets under administration were down about 2% in the quarter and stood at $4.1 billion at the end of June.
 I’ll comment on non-interest expenses as well. Total non-interest expenses in the second quarter were $25.2 million, up about 8% on a linked quarter basis. This included the debt prepayment penalty costs as well as the lease buy out cost. Excluding those 2 items, non-interest expenses were up about $737,000 or 3% on a linked quarter basis, and most of that increase can be attributed to a $657,000 seasonal increase in merchant processing costs, which was more than covered by a similar increase in merchant processing revenues. The effective income tax rate for the second quarter was 31.7%, and at this time, our forecasted rate for the remainder of 2012 is approximately 31.6%.
 On the balance sheet, we were very pleased to report a 2.7% increase in loans for the quarter, led by a solid increase of 4.6% in commercial loans. It was nicely split with 54% in commercial real estate and 46% in C&I loans. Total commercial loans are up 6% in the first half of this year, and they are up 11% in the last 12 months. The total loan portfolio stands at $2.2 billion at June 30.
 Total deposits declined by about $15 million or less than 1% in the quarter. We typically experienced a seasonal outflow in municipal deposits in the second quarter, and that was the case in the most recent quarter with the decline in municipal balances of around $25 million. In the past 12 months, deposits are up 7%, with an 18% increase in demand and NOW account balances, which are the lowest cost deposit categories and total deposits amount to $2.1 billion at the end of the second quarter.
 Turning to asset quality. Solid asset quality has been a comparative strength for Washington Trust throughout this economic cycle, and that attribute continued in the most recent quarter.
 Non-performing assets including non-accrual loans, non-accrual investment securities and properties acquired through foreclosure or repossession amounted to 0.62% of total assets at June 30, down from 0.78% of total assets at the end of the first quarter. 
 Total loan delinquencies, 30 days or more past due, declined by 4% in the quarter, with a significant decline in commercial delinquencies. We made good progress in moving properties acquired through foreclosure off the balance sheet, as it dropped by 1/3 to $2.3 million in the most recent quarter.
 Total charge-offs amounted to just under $700,000, in line with the first quarter, but we also benefited from an above average amount of recoveries in the quarter of nearly $500,000. That brought net charge-offs to a very low level of only 0.08% of average loans on an annualized basis for the first 6 months of this year.
 As a result of these continuing trends of asset quality improvement and the adequacy of the allowance for loan losses, a loan loss provision charge to earnings of $600,000 was recorded in the second quarter of this year. This is a reduction of $300,000 on a linked quarter basis and a decrease of $600,000 from the second quarter a year ago. The allowance for loan losses remains at a very adequate level of 1.38% of total loans and the coverage level equaled to 193% of non-accrual loans.
 Total shareholders equity for the corporation stood at $293 million at the end of the second quarter, up 4% on a year-to-date basis. The corporation and the subsidiary bank continued to remain well capitalized. The estimated total risk based capital ratio was 13.15% at June 30, down slightly by about 7 basis points on a linked quarter basis. The tangible equity to tangible assets ratio rose by 13 basis points in the quarter to 7.66%. In June, we declared a quarterly dividend of $0.23 per share, which was paid on July 13.
 And at this time I will turn the call back to our President and Chief Executive Officer, Joe MarcAurele. 
Joseph MarcAurele: Thank you, David. In summary, our results for the second quarter were very solid, particularly given the economy. We do continue to feel very good about our market position, here in Rhode Island in particular, but also in Massachusetts and Connecticut, where we also do business. We hope to keep the momentum going through the year-end, but as usual, we remain somewhat cautious given the sluggishness in the economy.
 In the meantime, we will continue to -- on our way to our strategic plan to grow our core business lines and certainly to expand our market reach. We thank you for your time this morning and now David and I would be happy to answer any questions. 
Operator: [Operator Instructions] And the first question comes from Damon Delmont from KB&W. 
Damon Del Monte: My first question is regarding the growth in commercial real estate. Could you talk a little bit about the types of projects or properties that you are adding to the portfolio, and kind of from a geographic perspective, where you are seeing the most demand. 
David Devault: These are in Southern New England. Primarily, there are a variety of different types of properties, including some housing, well, apartment type projects, some retail, substantial retail properties as well as hotels. 
Joseph MarcAurele: These are primary credit tenant anchored type properties. There is a mix of office, and again, the mix of tenants is quite good and the loan to values and the underwriting parameters we feel are solid, with borrowers that we certainly know. 
Damon Del Monte: Okay, and can you talk a little bit about the competitive environment with regard to pricing right now? 
Joseph MarcAurele: I would say, overall, this remains a competitive environment. The way we are competing, I think, is that we are very consistent in regard to the type of deals that we do. We deliver with relative speed and efficiency to our customers. All that being said, there continues to be a significant price competition for assets that are considered to be of good quality. 
Damon Del Monte: Okay great. And then with regards to the mortgage banking data, I believe you had said there was about a 4% increase over the last quarter. What was the actually dollar amount of the originations this quarter? 
David Devault: $178 million. 
Damon Del Monte: And do you have the gain on sale of those? 
David Devault: $3 million. 
Damon Del Monte: Okay, great. And then my last question, with regards to your remaining -- 
David Devault: Damon, excuse me. I just want to clarify. Some of that goes to portfolios. So the $3 million is not on the $178 million. 
Damon Del Monte: Okay, so can you break out how much goes to the portfolio and how much is sold? 
David Devault: Sales were about $119 million. 
Damon Del Monte: Okay. All right, that’s helpful. And then my last question just deals with the outstanding FHLB advances that you have. I think it’s around $524 million and I think the cost on those is somewhere on the 3.25 range. Any additional opportunity to maybe restructure or refinance those like you did quarter with some others. 
David Devault: Well, I would have said no 6 months ago, but then rates continued to decline. So it’s always possible, but there are certainly diminishing opportunities for that in the near term. 
Operator: And the next question comes from Frank Schiraldi from Sandler O'Neill. 
Frank Schiraldi: Just a couple of questions. I wondered first, Dave, if you could talk a little bit about your, the margin expectations going forward. You got a little bit of a benefit from the restructuring and seems that funding cost might be sort of be hitting bottom. What are your thoughts there? 
David Devault: There are still some future benefits to come from reducing times deposit and wholesale funding costs, but to a lesser extent than we’ve seen, certainly in recent quarters. Offsetting that is the fact that at today’s rates, assets that are coming on to the balance sheet are not as high a yield as we had seen in the past. So our goal for the near term is going to be margin preservation, and we would be happy with that. 
Frank Schiraldi: Okay, and I wondered, do you have the numbers on CD balances maturing in coming quarters or in the coming quarter and pricing on that? 
David Devault: Not summarized that way. We can put that in our 10-Q this quarter. 
Frank Schiraldi: Okay great. And then just on the provisioning, it looks like you had a recovery in the quarter of about, I think $500,000. Is a better way to look at the provisioning going forward more normalized provisioning up around the $1 million level, do you think, on a quarterly basis? 
David Devault: We don’t think so in the near term, and by that I would mean the next couple of quarters. We think asset quality is such that we can do with a lower provision than $1 million per quarter. If we have to increase it, we believe that would be because of growth and not due to anything that we can see regarding asset quality inherent in the portfolio right now. We’ve seen significant progress in improving commercial loan asset quality. Residential continues to be -- it's certainly very, very, very manageable and very low by industry standards, but there seems to be a longer tail with workouts of residential, which have a lower loss experience even when they -- if they do become non-performing. 
Frank Schiraldi: Okay, great. So I mean, in that case, is the current provisioning, the provision we saw in this quarter, that might be a little bit better expectation or run rate in the short term, without nailing down a number? 
David Devault: We think somewhere in that range, probably not lower than that, is fair for the next couple of quarters. 
Frank Schiraldi: Okay, and then just finally a question for Joe, just a 30,000 foot view in terms of M&A. Just wondering if you got the sense that you are hearing a little more chatter in and around the footprint and if there is potential to, in your mind, to do something in and around the footprint. 
Joseph MarcAurele: Well, Frank, I think that our comments on M&A have been very consistent. Clearly we consider a lot of things. We again, though, would like to emphasize that we would look for things that would be geographically close to us and would be something that we could put our brand on and benefit from the synergies that our company could bring to anything we would combine with. 
Operator: [Operator Instructions] Okay, as there are no more questions at this present time, I’d like to turn the call back over to management for any closing remarks. 
Joseph MarcAurele: Well, this is Joe. I really appreciate everyone’s time. Thank you very much. We feel good about the quarter. We certainly hope to continue this type of momentum, and we look forward to speaking to you all again at the end of next quarter. 
Operator: Thank you. That concludes today’s teleconference. You may now disconnect your phone lines. Thank you for participating. 
Joseph MarcAurele: Thanks a lot. 
Operator: And have a nice day.